Operator: Greetings, and welcome to The Chefs' Warehouse First Quarter 2024 Earnings Conference Call. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Alex Aldous, General Counsel, Corporate Secretary and Chief Government Relations Officer. Please proceed. 
Alexandros Aldous: Thank you, operator. Good morning, everyone. With me on today's call are Chris Pappas, Founder, Chairman and CEO; and Jim Leddy, our CFO. By now, you should have access to our first quarter 2024 earnings press release. It can also be found at www.chefswarehouse.com under the Investor Relations section. Throughout this conference call, we will be presenting non-GAAP financial measures, including, among others, historical and estimated EBITDA and adjusted EBITDA, as well as both historical and estimated adjusted net income and adjusted earnings per share. These measurements are not calculated in accordance with GAAP and may be calculated differently in similarly titled non-GAAP financial measures used by other companies. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP financial measures appear in today's press release. Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements, including statements regarding our estimated financial performance. Such forward-looking statements are not guarantees of future performance, and therefore you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today's release. Others are discussed in our annual report on Form 10-K and quarterly reports on Form 10-Q, which are available on the SEC website. Today, we are going to provide a business update and go over our first quarter results in detail. Then we will open the call for questions. With that, I will turn the call over to Chris Pappas. Chris? 
Christopher Pappas: Thank you, Alex, and thank you all for joining our first quarter 2024 earnings call. First quarter 2024 business activity displayed typical seasonal cadence as revenue trends coming out of January increased steadily in February and March. Our business units, international and domestic, delivered strong new customer and placement growth during the first quarter and aggregate price inflation continued to trend in the low-single-digit range. I would like to thank all our Chefs' Warehouse teams for sales and operations to all the supporting functions for delivering a great start to 2024. As we head into the second quarter and the rest of the year, I would also like to recognize our customer and supplier partners for their support and confidence in our people, diversity and quality of products, and our high-touch, flexible distribution platform. A few highlights from the first quarter include: 8.8% organic growth in net sales; specially -- specialty sales were up 7% organically over the prior year, which was driven by unique customer growth of approximately 10.1%; placement growth of 12%; and specialty case growth of 4.6%. Organic pounds in center-of-the-plate were approximately 6.2% higher than the prior year first quarter. Gross profit margins increased approximately 37 basis points. Gross margin in the specialty category was unchanged as compared to the first quarter of 2023, while gross margin in the center-of-the-plate category increased 19 basis points year-over-year. Excluding the impact of Hardie's, specialty gross profit margins increased approximately 58 basis points versus the prior year quarter. Jim will provide more detail on gross profit and margins in a few minutes. As we move into the next phase of our growth, focused on harvesting the investments we have made the past few years, our teams are engaged in continual operational improvement processes across our domestic and international markets. These work streams include implementing technology-driven product selection and loading processes in our distribution centers, enhancements to our customer-facing digital platform as well as our continued consolidation of operation and routes in key markets. A few highlights are: during the quarter, we completed the consolidation of our [ Foley Fish ] seafood facility located in Boston into our new Bedford, Massachusetts operation. This move reduces overhead expenses and facilitates improved cross-sell opportunities with our specialty produce and Allen Brothers distribution platform in New England. In Northern California, our project to consolidate multiple protein processing and distribution operations into our new Richmond facility continues to progress. We anticipate initiating operations during the second quarter, with the phased-in consolidation during the second half of 2024 and the first quarter of 2025. We expect to see the majority of operational and distribution efficiencies emerge starting in 2025. In Texas, the integration of Hardie's in our specialty operations continues to move forward. In addition to driving cross-sell opportunities and initiating improvements in operational efficiency, our teams are making progress on capacity optimization in Houston. We expect this will facilitate growth in specialty produce and protein cross-sell to customers in the Greater Houston market as well as reduced internal transfer costs going forward. These projects, while not all inclusive, are aimed at providing our teams with a continuous and ever-evolving platform for growth and operational efficiency within the unique business model that Chefs' Warehouse provides to the thousands of artisan suppliers we represent and customers we serve. We are focused on continued organic growth and building on our brand as the premier marketer and distributor of specialty ingredients, produce and value-add proteins in the region we operate. With that, I'll turn it over to Jim to discuss more detailed financial information for the quarter and an update on our liquidity. Jim? 
James Leddy: Thank you, Chris, and good morning, everyone. I'll now provide a comparison of our current quarter operating results versus the prior year quarter, and provide an update on our balance sheet and liquidity. Our net sales for the quarter ended March 29, 2024 increased approximately 21.5% to $874.5 million from $719.6 million in the first quarter of 2023. The growth in net sales was the result of an increase in organic sales of approximately 8.8% as well as the contribution of sales from acquisitions, which added approximately 12.7% to sales growth for the quarter. Net inflation was 2.7% in the first quarter, consisting of 1.2% inflation in our specialty category and inflation of 4.6% in our center-of-the-plate category versus the prior year quarter. Gross profit increased 23.4% to $209.4 million for the first quarter of 2024 versus $169.7 million for the first quarter of 2023. Gross profit margins increased approximately 37 basis points to 23.9%. And our procurement, sales, pricing, and operations teams delivered strong gross profit dollar growth across categories during the quarter. Selling, general and administrative expenses increased approximately 21.9% to $190.3 million for the first quarter of 2024 from $156.1 million for the first quarter of 2023. The increase was driven -- was primarily due to the higher depreciation and amortization driven by acquisitions and facility investments, and costs associated with compensation, including benefits, facility costs, and distribution costs to support sales growth in the current quarter. Adjusted operating expenses increased 23.6% versus the prior year first quarter. And as a percentage of net sales, adjusted operating expenses were 19.3% for the first quarter of 2024 compared to 19.1% for the first quarter of 2023. Operating income for the first quarter of 2024 was $16 million compared to $11.9 million for the first quarter of 2023. The increase in operating income was driven primarily by higher gross profit, partially offset by higher selling, general and administrative expenses versus the prior year quarter. Income tax expense was $0.8 million for the first quarter of 2024 compared to $0.5 million expense for the first quarter of 2023. Our GAAP net income was $1.9 million or $0.05 per diluted share for the first quarter of 2024, compared to net income of $1.4 million or $0.04 per diluted share for the first quarter of 2023. On a non-GAAP basis, we had adjusted EBITDA of $40.2 million for the first quarter of 2024 compared to $32.8 million for the prior year first quarter. Adjusted net income was $5.9 million or $0.15 per diluted share for the first quarter of 2024, compared to $4.6 million or $0.12 per diluted share for the prior year first quarter. Turning to the balance sheet and an update on our liquidity. At the end of the first quarter, we had total liquidity of $204 million, comprised of $42 million in cash and $162 million of availability under our ABL facility. During the first quarter, we executed the following transactions as part of our progress towards achieving our year-end 2025 capital allocation goals of 2.5 to 3x net debt leverage and repurchasing $25 million to $100 million equivalent outstanding shares. As of March 29, 2024, we repurchased $5 million of our outstanding common shares, resulting in a reduction of approximately 135,000 shares outstanding, and we repaid $6.7 million on the outstanding balance of our term loan. In addition, during the first quarter, we repriced our $270 million term loan maturing in 2029, reducing the coupon from SOFR adjusted for a credit spread plus a fixed spread of 4.75% to SOFR plus a fixed spread of 4%, lowering interest costs by 85 to 90 basis points, depending on the SOFR term selected. As of March 29, 2024, total net debt was approximately $662 million, inclusive of all cash and cash equivalents, and net debt to adjusted EBITDA was approximately 3.3x as compared to approximately 3.4x as of the fourth quarter of 2023. Turning to our full year guidance for 2024. Based on the current trends in the business, we are providing our full year financial guidance as follows. We estimate that net sales for the full year of 2024 will be in the range of $3.64 billion to $3.785 billion, gross profit to be between $867 million and $902 million, and adjusted EBITDA to be between $207 million and $219 million. Please note, for the second and third quarters of 2024, we expect both the convertible notes maturing in December of this year and those maturing in 2028 to be dilutive for reporting purposes, and therefore, we expect the fully diluted share count to be approximately 45.9 million shares for those reporting periods. For the fourth quarter and the full year of 2024, we expect the remaining convertible notes maturing in 2028 to be dilutive and therefore, we expect the fully diluted share count to be approximately 45 million shares for the fourth quarter and the full year reporting periods. Thank you. And at this point, we will open up to questions. Operator? 
Operator: [Operator Instructions] Our first question comes from Alex Slagle with Jefferies. 
Alexander Slagle: Really strong gross profit. I mean, the best first quarter gross margin, I think, we've seen in like 5 years on an apples-to-apples basis and extends on the momentum you reported in the 4Q. So just kind of curious if you could dig into some of the drivers behind that and maybe what's changed and to the degree some of that's sustainable as we look ahead. 
James Leddy: Yes. Thanks for the question, Alex. I'll start and I'll let Chris jump in. But, yes, I mean, ever since coming out of the summer 2023, we really focused on gross profit dollar growth and gross profit margin as things normalized coming out of that kind of weird summer. I think the combination of our growth in digital, providing our sales reps with more tools, more data, and still maintaining that strong sales relationship has really helped us improve margins year-over-year and just continue the momentum that we had at the end of last year. 
Alexander Slagle: Okay. Yes. And even on the OpEx, I mean, I know the expectation was that we'd kind of be working through some ongoing cost headwinds and more so through the first half of the year. And I don't know, it's just to the degree this is in line with your expectations with what we reported? Or there's any other dynamics kind of given what you've seen in the first quarter? Because I mean, even with the higher OpEx, I mean, now it's like the EBITDA margin seems to be highest I've seen in -- for our first quarter, at least in a really long time. 
James Leddy: Yes. I mean, to your point, OpEx came in where we expected. It's a little bit higher year-over-year, but we expected that, and we built that into the guidance. And that's really mainly driven by all of the facility investments that we made in the last year or 2. The main one impacting the first half of this year is we don't lap the Florida rent until the summer. We moved in, in the summer of last year. And then some of our other facility investments like expansion in Seattle, expansion in the Philly and Southern New Jersey market, we won't lap those rent increases until the back half of the year as well. So that's driving the year-over-year, but operating expenses were right in line with what we expected. And our ops teams did a great job during the first quarter, continuing what they did in the fourth quarter. 
Christopher Pappas: Yes. I think, Alex, just to add to what Jim said. If you look back the last few years, what I think we keep saying is that we're investing in facilities, we're investing in systems, and we're investing in people. We continue to add more and more people into business development and sales. We think we have a very differentiating approach to the market than a lot of our competition. We only focus on one sector really, and we think we're the best at it. And there's always going to be a little up and down in the economy, but our goal is, again, to be the preferred partner to most of the independent restaurants and more of the high end. And I think we get rewarded for it. And we're all at the mercy of what really happens in the economy. But I think our customers are a little more insulated. The more higher-end consumer has a little bit more expendable income. And I think our clientele maybe doesn't have as much sway as what we're seeing right now and maybe QSR, and where really raising prices $1 or $2 is pushing away traffic. So we don't have that crystal ball, but we think -- we thought that the quarter kind of came in where we had anticipated and obviously, we hope that continues. 
Operator: Our next question comes from Mark Carden with UBS. 
Mark Carden: So to kind of jump on that last point a little bit. You talked about your customers being a little more insulated economically. Are you guys seeing any changes at all in the competitive backdrop with respect to pricing for distributors? Do you think any segments of your customer set are facing any pressures to lower their menu prices? Or is it just different for your guys overall? 
Christopher Pappas: Yes. Well, I don't know if I've ever seen restaurants lower prices. So I don't know if that's going to happen. Maybe you get a longer happy hour or incentives like Monday, Tuesday, Wednesday. It all depends on which part of the country you're talking about. I think the coasts are a little different than the middle of the country. I mean, I think we were all concerned with the massive inflation we've seen in the last 4 or 5 years, what that would do for traffic. But again, most of our independents are really good restaurateurs and they'll find that space where they can offer value and offer value for their customer trade that is more affected by price, speaking to a lot of our customers going into the call. I think it's all the expectation as well. The last year or 2 coming out of COVID, I think there was a lot of celebratory spending. There was customers who maybe in the past weren't regular customers that were going out and spending more money in some of the more higher-end restaurants, especially I think you've heard chatter about steakhouses. And it's just amazing how many more steakhouses there are today than -- as customers of ours than we had 4 or 5 years ago. And we think that -- we kind of expected that to kind of tone down a little bit. I think they were blessed with a tremendous amount of growth. And I think we're going back to a more normal pace like we saw in 2018 and '19, where maybe some of these clients were doing 300 turns a night, and they went to 500 turns over the last year or 2. And of course, nobody likes to see the turns go backwards, but I think it's more normal pace. So we would be happy with this pace for the next 20 years. Honestly, I don't know if it's ever going to go back to what we saw coming out of COVID. Obviously, what we saw during COVID, we never want to see again, that was horrible when all our customers closed. So I think we're getting back to a more normal pace, and there'll be winners and losers. We've seen a tremendous amount of new openings, which we kind of expected that were delayed with COVID. And with that, you're going to kind of see an evening out. I think clients -- customers have more choices in many neighborhoods and in many cities. And maybe there -- I think a lot of our customers are seeing that where there is more competition for them where maybe there wasn't 4 or 5 years ago. And I think the -- I think we're benefiting because we're gaining, I think, more and more customers. So even though some of our older customers might be down a bit, we're gaining with more seats in similar areas, and we're getting that extra volume. So we're optimistic that it's going to find the balance. And our job obviously is to have the most compelling proposition for customers to choose us as their distribution partners and give us a large share of that purchase. 
Mark Carden: Got it. That's helpful context. And then how is your Middle East business holding up amid some of the continued turmoil in the region? Has it remained largely immune outside of some sourcing adjustments? Or has it gotten any more challenging? 
Christopher Pappas: I think the only challenge was business was almost too good coming out of the fourth quarter. I think when -- again, when we chose to enter that market, we did a lot of homework, and we thought it was going to become more and more of a chosen destination from European travelers, the world travelers and a lot of the money that's in the Middle East, and the business continues to perform. I think the only major headwind we had was that big storm. If you followed over the past few weeks, they got hit with torrential downpours that kind of flooded the streets, and we lost a few days of business. But some of the trouble in the Red Sea as far as getting product in was a bit of a headwind, but the business -- that management team there is first class. They continue to execute, and we're excited about the additional building that we've been adding on and building to give them more capacity so they can meet the demand that keeps coming. 
Operator: Our next question comes from Peter Saleh with BTIG. 
Peter Saleh: Congrats on a great start to the year. I didn't want to ask about the complexion of growth for this year. Your organic growth is a little over 8% here or closer to 9%. I think that's well above like your long-term algorithm, the 4% to 6% organic growth. So can you just help us out a little bit, how do we think about this year? How sustainable is that organic growth rate? And how do we think about organic versus acquisition benefit for the balance of this year? 
James Leddy: Thanks for the question, Pete. In terms of acquired growth, the bulk of it has happened this past quarter. So the 2 big acquisitions we did last year were Hardie's and Greenleaf from a top line perspective. And we bought Hardie's really right at the end of the first quarter, and we bought Greenleaf in the middle of the second quarter. So it's really heavily weighted. You see our acquired wrap was 12.7% this quarter, and that will decline significantly. In terms of organic, the mid- to the high point of our guidance implies about kind of in the 6%, maybe 7% organic range for the full year. So it will decline a little bit from the 8%. Now some of that will depend on price, what inflation does, but I think we're comfortable with the guidance right now and it kind of implies our long-term growth algorithm from an organic perspective. 
Peter Saleh: Great. And then can you just comment a little bit on the protein market and what you're seeing currently? I think last year around this time, maybe spring and into the summer, there was some volatility that happened. What are you seeing currently? What are the expectations, I guess, at least in the medium to near term? 
Christopher Pappas: Yes. Again, I would say if we were that good at predicting commodity markets, we'd be -- we'd own a trading floor somewhere in Bermuda. It's -- so it's kind of -- you would think it's predictable, Peter, but it's always proven us that there's some underlying factors that sometimes confuse the market. The -- it's driven by retail, right? So if retail slows down, especially for what we buy, which is upper choice and a lot of prime, you do get breaks in the prices. I think year-over-year, I think we had a few points of inflation over the last year's first quarter. But we don't take major, major positions. We've learned that there isn't a lot of upside unless the prices drop so low that you're really comfortable to take a much larger position. So I think that we go with the market. If customers want to buy in and have us take a position for them, we'll do it. But we try to avoid that big risk of being wrong. 
James Leddy: Pete, I'll just add that while we had some year-over-year inflation, prices in the protein market in Q1 kind of behaved kind of how they've behaved historically. In other words, sequentially coming out of the holiday season in Q4, prices kind of declined as they normally do in Q1. And then you -- historically, you would see them start to ramp up as you're going into barbecue season in the summer. And so that's still to be determined. 
Operator: The next question comes from Andrew Wolf with CL King. 
Andrew Paul Wolf: I want to ask also sort of on the organic sales being so much stronger than your competitors and really most of the sector, the restaurants included. How much would you sort of say this is your core customer base is being more well positioned, less sensitive to inflation in their consumer behavior versus just taking share of the business either through better selling or better products and selection, or just more people going up and down the street? 
Christopher Pappas: Yes. Andy, I think a lot is with taking share. I don't want to sound like Rodney Dangerfield that we get no respect being the smaller of all the public companies in the space. But we've invested a lot, people that really understand our business and follow our story. We're not a new business. We're getting close to our 40th anniversary. We know the industry really well. And we've made big bets. We've invested in facilities. We're investing in technology, and we've made tremendous investments in talent. And no one's completely immune to economic cycles, but we made the investments to continue to grow and continue to protect our turf. And our turf is really upscale casual to fine dining and to be the best at it. And I think, I hate to have a Cassandra's crystal ball prediction, but doing this now for almost 40 years, I've seen a lot of the cycles. Yes, we do have a piece of our customer portfolio that they are down. They are seeing negative comps. And we kind of expected that. And we kind of expected that we'll continue to go out and they do have a lot of choices, and we go after a huge amount of new customers every year to have that diversity of super high-end, high-end, upscale casual and emerging concepts. So we went into produce, I call it, that's our plant-based hedge. We like the business. We bought Hardie's last year to get into Texas, a great company [ where Chefs' is sizing] it. Like we said, we're going to add more and more products and give their sales teams more opportunities, and we call it more at bats with customers with all the Chefs' products, our over 50,000 items that make us who we are that come from thousands of artisan producers. So I think we expect to continue to grow and outgrow most of the industry. And obviously, there will be some headwinds in the way, but we think our investments were the right investments, and we expect to get rewarded. 
Andrew Paul Wolf: Great. I appreciate that. Can I just ask one other question? It's not really a follow-up. You haven't mentioned labor productivity, I think, or I didn't hear it at least, where I know in the past quarters, it sounded like you felt pretty good about it. So can you just give us an update how are you feeling about hiring, training, turnover, labor productivity? And where -- I think you mentioned you're going to invest in some automated picking. I know that's longer term, it's sort of a separate thing, but where that fits into, I guess, your cost structure going -- long-term cost structure? 
Christopher Pappas: Yes. It's still people, process, product. People are -- they're our greatest asset, and we keep investing and trying to make it a great place to work. And it's always challenging. Obviously, COVID was a new level of the word challenging, but I think we're getting more and more productive. I think the team, especially in the new areas we've invested in, it's -- it will continue to get better as training, we've invested in more and more into training. I think you have to. You have a lot of new people coming into the industry. I would say nobody really graduates school and comes out and says, I really want to go into food service, right? So it's not like you're looking for accountants or doctors or bankers. It's people that are -- we hire a lot out of the industry in sales. We have a lot of chefs that work for us that have changed careers. But in a lot of the other positions, it's people that are coming in to the industry, and you have to train them and you have to make sure that you make it a great place to work because we want them to stay because it does take years for them to get better and better at their job. No matter how much technology you have, we are in the people business. So always a headwind, but it's what we do, and we think we do it really well and we continue to get more productive. 
James Leddy: Andy, I'll just add that when we talk about our 5-year plan and getting operating leverage gradually increasing as we go through the next 2 to 5 years, a big part of that is the impact on rationalizing labor and labor costs through consolidating facilities like we're doing on the -- in Northern California, we're doing in Florida now. We're doing in Texas, New England, consolidating routes as part of those facility consolidations. And then the tech-related process improvements are really focused on error reduction and a lot on inventory management. And so I think our operating teams and our procurement teams are doing a great job of starting that. And hopefully, we get more benefit from it down the road as well. 
Operator: The next question comes from Kelly Bania with BMO Capital. 
Kelly Bania: Jim, we're starting to touch on this a little bit, but just was curious if you can update us on the pace and the cost of those facility expansions, whether it be Northern California or some of the others that you have going on. Are those coming time wise and expense wise on plan and any changes to that outlook for this year? 
James Leddy: No real changes to the outlook. I think we have a little bit of front-loaded CapEx in the first half of the year as we finish the -- our building in Northern California, and we expect in a few weeks to start the phased-in consolidation of 4 separate facilities. I think as we mentioned in our prepared remarks, we expect most of the cost savings and efficiencies to really emerge in 2025 because we're going to spend the rest of this year really in a very thoughtful phased-in consolidation, just managing the logistics and servicing the customers through that process. We finished most of the consolidation in Florida. So from an OpEx perspective, I'll just go back to what I stated earlier. Most of the impact from a year-over-year perspective is in the first half of the year as we lap those increased rents that we had last year will -- the year-over-years will -- we expect to get better. That's assuming, of course, top line and gross profit hold up accordingly per our guidance and per our plan. So I think, look, we'll get the bulk of the benefit really starting in the latter part of this year and then into '25 and then into '26. So it's really setting us up for the next couple of years in terms of generating operating leverage. 
Kelly Bania: Great. Can you also just touch a little bit more on the seasonality trends that you're seeing? It sounds like the spring has really trended as expected or maybe a little bit better, but there's always a lot of moving parts in the spring. So just help us understand what you're seeing so far? And any real divergences among geographies that might be of note? 
James Leddy: Well, I think the only thing we would mention is, with the early Easter, there was a little bit of noise around the last week of March and the first week of April, but nothing like hugely material that we would necessarily call out. And then the rest of April, started to build back to where we expected or very close to where we expected. I don't think we see anything going into the summer. Hopefully, we don't have the kind of volatility or significant international travel impact that we had last summer, but obviously, we can't predict that right now. So I wouldn't say there's anything that we would call out right now seasonally other than the -- as we talked about earlier, there's always concerns about the macroeconomic environment that we're hearing a lot about. 
Kelly Bania: Okay. That's helpful. And just another one on this SKU count. Obviously, there's been a lot of acquisitions and expansions into new categories, but the SKUs are up to 70,000, I believe, now. What's the right number over time? How do you make sure to balance that selection and with the complexity of having more and more SKUs? Just any thoughts on that? 
Christopher Pappas: Yes. Well, the SKUs is -- again, you got to be very careful. It's a little misleading sometimes because it's kind of like the 80-20 rule. I mean it's -- 80% of the business is in 20% of the SKUs. So we run a huge just-in-time process because of our independent customer base, it puts a tremendous demand on being able to accommodate a lot of the creativity that the people that run these restaurants demand of us. And I think that's one of the things that we are probably the best in the industry because we kind of understand it. We've been doing it for so long. So I think as we get bigger and we expand more territories and more categories, I think that proliferates a lot of the amount of SKUs that come through the system. But it is something we focus on every day to obviously be accommodating, but also have the discipline, so you don't have the waste. And I think what's driving the SKU count up is we've expanded a lot of the categories. And so with the category expansion, you have a lot of SKUs that come in and out. But I still think that when you really look at the -- what's in the buildings, and we do work on this every day because you have to draw the line somewhere where you have how much duplication of inventory that's very similar. So I think category management does a great job with that and continues to work on educating the sales staff and customers that we may have what they're looking for. It might be a different label or it might be a different pack size, but please take what we stock because bringing in new product is very expensive, right? Warehouse space continues to get very expensive. Frozen space, obviously, is very expensive today to build. So I wouldn't get too held up on the massive proliferation of SKUs. 
Operator: The next question comes from Ben Klieve with Lake Street Capital. 
Benjamin Klieve: A couple of quick ones for me. First of all, Jim, I appreciate your comment that CapEx this year is going to be front loaded, Q1 as a percentage of sales of 2%. But I'm hoping you can elaborate on this a bit in some way, full year CapEx expectations, perhaps your expectation for kind of the range of CapEx as a percentage of revenue. Just kind of some sense of how this line item is going to play out for the balance of the year? 
James Leddy: Yes. Thanks, Ben. Yes, I think we're going to be -- I think we should come in pretty close to 1%, maybe it's 1.1% or 1.2% or maybe a little bit below, but the bulk of our CapEx this year are 2 major projects, which is finishing out the Richmond, California facility I talked about earlier, which is a big project, and then our Chefs' Middle East expansion, the bulk of that project is happening in the first half of the year, and then we'll round out into the back half of the year. And then we have the normal kind of technology investments and maintenance CapEx. So as those 2 projects finish towards the end of the third quarter, that back half of the year, we expect to be on the lower end, and the first half of this year to be on the higher end. So I think we've put out our guidance of $35 million to $45 million of CapEx. I expect us to stay within that range. And if we land within that range, we'll be pretty close to our goal this year of close to 1% of revenue. 
Benjamin Klieve: Great. Great. So there's kind of a steep decline here throughout the year. That's perfect. And then last one for me, and I'll get back in queue, a product-specific question regarding cocoa just going parabolic this year. I know it's not a huge element of your business, but I'm just curious how effectively you guys have been able to navigate this. If this has been any issue in the first quarter or so far here in the second quarter? 
Christopher Pappas: Yes. I mean it is a good topic. It's a little frightening what's happened in the cocoa market. And it's just amazing that the demand for chocolate, chocolate desserts is still very, very high. I think we do offer a plethora of choices for customers. We carry many types of different chocolates. And it's something that I look at on a weekly basis, the concerns were, oh my God, people are going to stop eating chocolate, and that just doesn't happen. So people are -- some -- there is a little switching in brand, something a little bit more affordable. But they continue -- our customer base continues to enjoy producing the desserts and the demand is still there. 
Operator: The next question comes from Todd Brooks with Benchmark Capital. 
Todd Brooks: First question, Chris, you talked about touching base with a bunch of the -- a bunch of your customers in advance of the call. I'm just wondering, we're going into a bit of the celebratory season here, Mother's Day, Father's Day, graduation, and then we obviously roll into the strongest window for -- or one of the stronger windows for events across the summer. What are you hearing about those 2 slices of the market and the business from your customers? 
Christopher Pappas: Yes. I think that part is unchanged of what I'm hearing that events were booked, events are happening. Obviously, we're coming out of nothing happening in COVID. So we kind of expected that. Vegas sounds very strong. Again, the EU sounds very strong. I think lots of weddings, lots of christenings, bar mitzvahs, graduations. So I think the catering side is pretty strong. So we don't hear anything that would cause us to think any different at this point. 
Todd Brooks: Great. Second question, I know -- we don't want crystal ball too much on inflation. But in just listening to the restaurant companies, it seems like inflation has firmed up maybe a little bit more than they expected going into the year. I know, Jim, you shared the 2.7% inflation for the first quarter. How are you thinking about maybe brackets around the inflationary environment as you're looking Q2 and then maybe second half of this year? 
Christopher Pappas: Are you saying deflationary environment? 
Todd Brooks: Inflationary... 
Christopher Pappas: Inflation, yes. Yes. Well, protein really caused -- from last year caused over 1 point different. I think our specialty -- fresh specialty business was only about 1.5 points of inflation. So we've really seen that moderate. It's really the labor factor. I don't think the cost of labor is going to go down. So I think it's pretty embedded now in everybody's forecast that you're going to have that continued high labor costs. So we were worried about deflation for a while. That's why I said are you asking about deflation or inflation. But we don't see -- there's always something in the world. I mean, obviously, we have wars going on and we watch the cost of freight and what's happening to transport the cost of fuel. But we don't see anything really that would make us think that something drastic is going to happen in the cost of goods and either way, deflation or inflation at this point. 
Todd Brooks: Okay. Great. And one final one. Center-of-the-plate pound was very strong in the quarter, up in that 6% range. I guess what's the complexion of that? Are you seeing -- was it actually a switch back to beef with that sequential kind of stabilization that you saw? Or is it other proteins that are driving that growth? Just any color you can give us there. 
Christopher Pappas: Yes. I mean we continue to see demand there across the board. I thought with the gluten-free craze started, we wouldn't sell any pasta. We sell lots of pasta. We sell a lot of vegetables, too, but we sell a tremendous amount of steak and what we think is the best hamburger in the market. We sell a tremendous amount of chicken. So we're not seeing anything really change in our -- the demand that we saw over the past few years, the trends. So I think it's kind of spread out. There's big diversity in menus and people like choices. We were talking about this the other day. Do we think menus are going to shrink? Or -- many, many neighborhood restaurants, I mean, they're serving the same customers week in, week out. They have to continue to be creative and they have to continue to give people a reason to come back. Obviously, there's the house favorites, but everybody likes something a little different. And I think that's what independent restaurants do really well. They're constantly creative, and they're constantly making it more interesting for their patrons to keep coming back. So I think that trend continues. 
Operator: Thank you. At this time, I would like to turn the call back to management for closing comments. 
Christopher Pappas: Well, we thank everybody for joining our call today. Chefs' Warehouse's team is hard at work, and they're -- I think their success is well earned, and we're hoping for a great next quarter, and we look forward to everybody to join our call again. Thank you very much. 
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.